Operator: Good morning. And welcome to the AGCO Third Quarter 2022 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Gregory Peterson, Vice President of Investor Relations. Please go ahead.
Gregory Peterson: Thanks and good morning. Welcome to those of you joining us for AGCO’s third quarter 2022 earnings conference call. We will refer to a slide presentation this morning that’s posted on our website at www.agcocorp.com. The non-GAAP measures used in the slide presentation are reconciled to GAAP metrics in the appendix of that presentation. We will make forward-looking statements on the call this morning, including demand, product development and capital expenditure plans, production levels, engineering expense, exchange rate impacts, pricing, share repurchases, dividends, future commodity prices, crop production, our supply chain disruption, inflation, component deliveries, retail revenue, margins, earnings, cash flow, tax rates, and other financial metrics. We wish to caution you that these statements are predictions and that actual events may differ materially. We refer you to the periodic reports that we file from time-to-time with the Securities and Exchange Commission, including the company’s Form 10-K for the year ended December 31, 2021. These documents discuss important factors that could cause the actual results to differ materially from those contained in our forward-looking statements. These factors include, but are not limited to, adverse developments in the agricultural industry. including those resulting from COVID-19, including plant closings, workforce availability and product demand, as well as supply chain disruption, weather, exchange rate volatility, commodity prices and changes in product demand. We wish to disclaim any obligation to update any forward-looking statements except as required by law. A replay of this call will be available on our corporate site later today. On the call with me this morning are Eric Hansotia, our Chairman, President and Chief Executive Officer; Damon Audia, our Senior Vice President and Chief Financial Officer; and Andy Beck, our Former CFO and now Senior Vice President and Senior Advisor. With that, Eric, please go ahead.
Eric Hansotia: Thank you, Greg, and good morning. We appreciate your interest in AGCO and your participation on the call today. Our record third quarter results have us solidly on track to meet our full year financial targets, that includes strong revenue growth, margin expansion and record earnings per share. These are further evidence that our strategies are working. The quarter was highlighted by solid operational performance and continued double-digit pricing. Those helped us overcome continued supply chain challenges, inflationary pressures and significant currency headwinds. The encouraging news is that despite the global supply bottlenecks and inflationary pressures, farmer economics are very healthy. Global end market demand remains at high level and demand for our products continues to be strong. Our team is working hard to mitigate these challenging conditions to serve our customers and maximize our full year results. Let’s start on slide three where you can see that net sales grew 14.5% compared to the third quarter of 2021. Adjusted operating income increased nearly 32%, while margins improved about 140 basis points. We are seeing excellent demand for the technology-rich Fendt full line up of equipment, our Precision Planting solutions and replacement parts. AGCO’s Precision Ag sales are up over 21% so far this year. We have experienced strong growth for both our Precision Planting business, as well as our Fuse suite of products, as farmers see the benefit of these high tech solutions. We have also made significant progress with our efforts to optimize our South American operations and improved margins there. Through the third quarter, our year-to-date South American operating margins hit 16.5%. That’s over 700 basis points of improvement from last year. Slide four details industry unit retail sales by region for the first nine months of 2022. Healthy farm income is projected across most of the major agricultural production regions. Elevated crop prices are offsetting higher fuel, fertilizer and other input costs. Despite ongoing supply chain disruptions, favorable farm economics are generating strong demand for large farm equipment across all major global markets this year. Industry retail sales continue to be negatively impacted by supply chain constraints, which has limited equipment production during the first nine months of 2022. We continue to believe that the weaker year-to-date industry sales are the result of supply chain challenges, as end market demand remains very strong. North American industry retail tractor sales were down approximately 6% in the first nine months of 2022 compared to last year. Smaller tractors declined from record levels in 2021, while increased sales of high horsepower units offset some of the decline. Industry retail tractor sales in Western Europe decreased approximately 10% in the first nine months of 2022 compared to the strong levels in the same period of 2021. However, forecasts for healthy farm income in Western Europe are expected to support solid retail demand for equipment for the remainder of 2022. In South America, industry sales increased 9% during the first nine months of 2022, with robust demand across all South American markets. Strong crop production levels, as well as elevated commodity prices are supporting positive economic conditions for farmers who continue to replace their aged equipment. AGCO’s 2022 factory production hours are shown on slide five. You can see that our production increased in the third quarter, as we aggressively ramped up our facilities in line with our expectations. For the full year of 2022, we currently project production hours to increase approximately 6% compared to 2021 levels, with fourth quarter production levels up double digits compared to the fourth quarter of 2021. Our current October production rates are solidly on track to deliver the higher production plan in months ahead. As we discussed over the last several quarters, supply chain issues have impacted our ability to complete and ship units, and cause several inefficiencies in our factories. The volatile supply chain environment is still requiring us to keep higher than normal levels of raw material and work in process inventory on hand. We continue to face supplier bottlenecks and delays in all regions, and although, trending slightly better in some markets, we expect continued challenges for the remainder of the year. The higher level of production in the fourth quarter, as well as our current volume of semi-finished products supports our full year sales outlook. At quarter end, AGCO’s order board remained extended. Orders for tractors and combines globally were modestly higher compared to a year ago and extend into the second half of 2023 on many products. You will recognize slide six, which highlights our focus on high margin growth. The first focus area is taking our Fendt full line brand global. We are working to grow the business along two vectors. The first is expanding the Fendt product line beyond tractors in the combines, planters, and sprayers, where we have top-performing products across the board. The second is taking the Fendt full line products global. Interest is growing in our premium Fendt product lines in both North and South America. Our Fendt and Challenger combined sales in North and South America are expected to double in 2022 compared to 2020. Our ambitious target is to double them again over the next five years to seven years. The second focus area involves Precision Agriculture. At AGCO, we address the Precision Ag market in two ways. The first is through our Precision Planting business, which has built an innovation-driven growth record of 24% per year growth since we have owned the business. Precision Planting has been successful and providing automation and intelligence to planters. Now, we are growing beyond planters into the other parts of the crop cycle, like spraying, soil sampling and harvesting. In addition to their impressive technology, Precision Planting success is generated through their unique retrofit approach, which reduces the farmer’s upfront investment and increases their ROI. By offering solutions through a retrofit approach, we can expand the addressable market beyond AGCO brands to all industry brands. The other way we are addressing the Precision Ag opportunity is Fuse, which provides OEM solutions for our AGCO equipment. The third high margin focus area is our Global Parts and Service business. AGCO is already in a leading position relative to having the right parts in the right place when the farmer needs it. We are building from a solid foundation to capture more of the dealer and farmer’s business. We are helping dealers become better and more proactive with their service and parts offering with our smart solutions and expanding digital capabilities, which leverage the growing number of connected machines. As a result, we have driven our after sales in parts business to grow at 8% annually over the past three years, compared to 4% for the three years prior. Combined these opportunities provide significant growth potential at higher margins and less variability during cyclical downturns. Our farmer-first approach is also making strides and being recognized in the area of sustainability. During the third quarter, AGCO is named Sustainability Company of the Year by Enablon. One of the ways we are growing our premium Fendt business is by continuing to expand and upgrade our product offerings. During the third quarter, we had a global launch event for the Fendt 700 Series. This high tech tractor ranges from 200 horsepower to 300 horsepower and is the highest volume row-crop tractor Fendt sells. Through our farmer-first approach, we listen to what farmers want and then we delivered it with this new tractor. They told us they want the lowest fuel consumption, superior maneuverability, minimal soil compaction, as well as cabin comfort features for long working days. The new 700 Series has more than delivered. On slide seven, you can see some of the specifics for this great new tractor. The short version is that it’s bigger, smarter, more fuel-efficient and more sustainable than ever before. The spacious cab with its continuous field of vision is more like a luxury sedan than a tractor. From the joystick control to the extensive automation of processes, we have packed even more technology into it and made it easier to drive. Its tighter turning radius gives it the maneuverability of a much smaller tractor. Farmers love the Gen 6 version and based on early indications, there is a lot of interest in this Gen 7 version. It is innovations like this at our Fendt line up that give me continued confidence in Fendt’s ability as a win around the world. With that, I will hand it over to Damon, who will provide more details on our third quarter results.
Damon Audia: Thank you, Eric, and good morning, everyone. And we will start on slide eight with an overview of AGCO’s regional net sales for the third quarter. Net sales were up approximately 26% in the quarter compared to the strong third quarter of 2021, when excluding the negative effects of currency translation. Pricing in the quarter, which was around 13%, contributed to higher sales along with continued strong growth in high horsepower tractors combines and Precision Ag products. By region, net sales in North America increased approximately 44%, excluding the unfavorable impact of currency translation compared to the third quarter of 2021. The strong year-over-year growth was driven by the success of our Fendt large tractor sales, significant increase in demand for our Precision Planting products, as well as overall solid pricing. The Europe/Middle East segment reported increase in net sales of approximately 15%, excluding the negative impact of currency translation compared to the sales in the third quarter of the prior year. Despite the overall weaker market conditions due to the factors Eric highlighted earlier, we continue to see good pricing and strong retail demand in large equipment in several countries, like Germany and France. In South America, net sales grew approximately 50% compared to the third quarter of 2021, excluding favorable currency translation driven by favorable market conditions, helping deliver significant pricing, as well as volume and positive mix effects from growth in Fendt products. Sales were up strongly across the South American markets with high horsepower tractors and combines showing the largest increases. Net sales in our Asia-Pacific/Africa segment increased about 15% compared to strong sales in the third quarter of 2021, excluding the effects of currency. Higher sales in Japan, Australia and Africa were partially offset by lower sales in China, mainly related to grain and protein business, which has been challenged by customer demand being limited by COVID-19-related lockdowns in the quarter. Finally, consolidated replacement part sales were approximately $425 million for the third quarter, down approximately 4% from the third quarter of 2021. Excluding negative currency effects of 12%, part sales increased about 8% compared to the third quarter of 2021. Turning to slide nine, the third quarter adjusted operating margin improved by approximately 140 basis points versus the comparable period in 2021. Margins in the quarter benefited largely from higher sales and production volumes, as well as positive net pricing. The third quarter price increases of approximately 13%, more than offset the significant material and freight cost inflation on a dollar basis contributing to the margin improvements in the quarter compared to the third quarter of 2021. For the full year we are now expecting pricing in excess of 10% and not only offset material cost inflation on dollar basis, but also on a percentage basis. By region, South America continued its very strong performance with operating margins reaching nearly 19% in the quarter and operating income improving over $63 million year-over-year. Continued strong end market demand, solid pricing, a healthy sales mix supported by impressive year-over-year growth. North America operating income for the third quarter improved over $75 million year-over-year and operating margins reached 12%. Higher sales volume and production, as well as richer sales mix, specifically more Precision Planting and Fendt sales resulted in the improved third quarter operating results. The Europe/Middle East segment reported a decrease of approximately $50 million in operating income compared to the third quarter of 2021, primarily from foreign currency translation related to the weaker euro. In addition, operating income was also adversely affected by higher material inflation and operational inefficiencies due to supply chain challenges, which in total offset strong pricing. Finally, in Asia-Pacific/Africa segment, operating margins expanded over 130 basis points to over 13% in the third quarter, reflecting mainly an improved sales mix. With margin expansion over the last two years in our North American, South American and Asia-Pacific/Africa regions from our strategy execution and disciplined pricing, we expect the margin profile will be more balanced across the globe in the years ahead. Slide 10 provides an overview of our grain and protein sales by region and by product. Sales increased about 2% in the first nine months of 2022 compared to 2021. Globally, grain equipment sales increased approximately 20% with our South American and North American regions showing the largest increases. Protein production equipment sales declined approximately 22% in the first nine months of 2022 with the weakest demand in Asia-Pacific/Africa region, mainly due to swine related equipment sales. Overall, grain equipment demand has been strong, supported by improved grain prices and profitability of farmers. However, North American demand has been muted due to industry-wide price increases to cover the increased cost of steel. The protein production equipment market remains challenged due to labor issues and higher input costs, such as grain. As protein prices are improving, so is protein producer profitability, which should lead to further investment. Slide 11 details AGCO’s free cash flow for the first nine months of 2022 and our outlook for the full year. As a reminder, free cash flow represents cash used in or provided by operating activities less capital expenditures. For the first nine months of 2022, free cash flow has been a use of $566 million, which is over $400 million higher than the first nine months of 2021. The primary driver for the change is the higher inventory levels related to the continued supply chain challenges, influencing our safety stock and work in process inventory. For the full year of 2022, although, we expect our raw material and work in process inventory to continue to remain elevated to help us manage through the continued difficult supply chain environment, we do expect to see a significant reduction in our work in process inventory in the fourth quarter and now expect to generate $400 million to $500 million of free cash flow for the full year, which is up from 2021. The decrease in our outlook from our previous forecast is related to continued supply chain challenges, as well as the timing and geographic mix of sales in the fourth quarter. Our capital allocation priorities remain unchanged and will continue to include investment in our Precision Ag offerings and digital capabilities, as well as opportunistically adding bolt-on acquisitions to help position AGCO for long-term success. In addition, we have focused on our direct returns to investors this year with our regular quarterly dividend that we increased 20% earlier this year to $0.24 per share and this year’s variable special dividend of $4.50 per share, given our expectations of our strong free cash flow generation. Future returns of cash to shareholders will be based on cash flow generation, our investment needs, which include capital expenditures and acquisition opportunities, as well as our market outlook. Turning to slide 12 for our current 2022 full year forecast in the three major regional markets. Despite the continued strong retail demand, especially for high horsepower equipment, we believe supply chain constraints and the corresponding effects on production will limit demand upside in the fourth quarter. For North America, with higher commodity prices and healthy farmer sentiment, we expect relatively flat demand compared to the healthy levels last year. We expect continued growth in larger equipment segments to be offset by softer demand for smaller equipment after several years of strong growth, coupled with increasing interest rates, which is further slowing this segment of the market. For South America, we expect the industry demand has been relatively healthy and increase around 10% compared to last year. This year-over-year growth is driven by the supportive commodity prices and favorable exchange rates, which is allowing farmers to continue replacing aged equipment as the number of planted acres continues to expand. EU farm economics are expected to remain supportive. Elevated commodity prices are expected to offset higher fertilizer and diesel cost. Economics remain positive for dairy producers, as milk prices have moved to record levels and are offsetting higher feed cost. However, weakening forecast for the general economy, concerns over the energy supply and ongoing conflict in the Ukraine are weighing on farmer sentiment. As such, we believe Western Europe industry demand is now expected to be down modestly compared to 2021 levels. Slide 13 highlights the key assumptions underlying our 2022 outlook. Our fourth quarter results are still dependent on our supply chain’s performance. Our outlook is based on current estimates of component delivery levels for the remainder of the year and our results will be affected if actual supply chain delivery performance differs from these estimates. Our sales outlook include price increases of over 10% aimed that more than offsetting higher material cost inflation during 2022. With significant weakening of the euro versus the U.S. dollar, we now expect currency translation to negatively affect full year sales by about 8% based on the current exchange rate versus our prior outlook of negative 7%. Engineering expenses are expected to increase by approximately 10% compared to 2021. The increases targeted at investment in smart farming and Precision Ag products, as well as the company’s digitalization initiatives. For the full year, we expect an operating margin of approximately 9.9%, which is above the 2021 operating margin, as a result of higher sales and corresponding production, and improved factory productivity, partially offset by increased engineering and digital investments. Finally, we are targeting an effective tax rate of approximately 28% for 2022. Slide 14 provides our outlook for 2022, which continues to be based on the current estimates of our supply chain capacity. Results will be affected if the actual supply chain delivery performance differs from these estimates. We are now projecting 2022 sales to be in the range of $12.5 billion to $12.6 billion and corresponding earnings per share to be in the range of $11.70 to $11.90. We expect capital expenditures to be approximately $325 million and free cash flow in the range of $400 million to $500 million. With that, I will turn the call back to Greg for Q&A.
Operator: [Operator Instructions] The first question is from Stephen Volkmann with Jefferies. Please go ahead.
Stephen Volkmann: Great. Hi. Good morning, everybody. I guess, I am curious, Eric, you talked a little bit about the backlog sort of pushing well out into 2023. Can you just comment on sort of where you are, are the order books basically open for 2023? If not, any sort of trends at the margin relative to what you are seeing for orders over the last few weeks, relative to the major end markets, would be appreciated?
Eric Hansotia: Yeah. Our order situation in terms of how we run the process is largely unchanged from what we have talked about in the past. In South America, we only opened up one quarter at a time. And then in the rest of the world, we opened up longer periods, but we don’t confirm pricing on, what we call, non-retail orders or our wholesale orders. So if it doesn’t have a customer name attached to it, we don’t confirm pricing. We only lock in pricing if you have a farmer with a name on it. So our order bank is still extended well into the second half of or at least into the second half of 2023. Order rates continue strong, but they are cooling a little bit back to more of a normative rate and that’s what we expected. There is such a surge in demand last year and the first half of this year that bringing them back to more of a normal incoming rate is what we expected. So no big changes here from what we have talked to you about the last couple of quarters.
Stephen Volkmann: Okay. Great. And sort of off that base, you did take down your North American and EU industry outlook a little bit. Was that mostly just the small end or is there some other trends that you should call out for us?
Eric Hansotia: Two factors there. On the demand side, it’s all about small ag in North America was the only place we see demand diminishing. But the industry is capped by supply constraints. So the expected industry we thought we are going to see is being limited due to the component availability for us and our competitors. So we just aren’t able to deliver the amount of machines that we would have liked as an industry.
Stephen Volkmann: Got it. Thank you. I will pass it on.
Operator: The next question is from Jamie Cook with Credit Suisse. Please go ahead.
Jamie Cook: Hi. Good morning. I guess two questions just to follow-up on Steve’s. Can you comment specifically the order trends by geography and then as you took down your industry forecast, some of it because of supply chain. Does that mean that will get pushed into 2023 and I am just wondering is that incremental to 2023? And then my last question, the margins in South America were exceptional this quarter, just wondering, if there’s anything that one-time there and sort of structurally how to think about your South American margins, just given improvement in 2022? Thank you.
Eric Hansotia: Damon, would you?
Damon Audia: Yeah. I think, Jamie, for us, if we think about the orders by region, all of them were up double digits, with the caveat for North America, that I would tell you, small ag was down, large ag was up significantly, so net North America was down orders year-over-year, but EME we were up over 20% plus, South America we were up double -- low-double digits and Asia-Pacific up into the teens as well. So as Eric alluded to, still seeing very strong demand with the exception of the small ag in North America. And then I think to your question on South America, again, credit to the team, as part of the South American fixed plan that we happen to put in place several years ago, you are seeing very good strong demand as we grow the Fendt and high margin products there. I would tell you that that’s on the backdrop of a very strong market condition as well. Our strongest market that we are seeing is in South America. So you are getting good strong market demand, which is facilitating the strong pricing environment that we are also getting, credit to the team in being able to price, coupled with the growth that we are seeing in products like the Fendt products. So, overall, structural improvements have been made to the South American business. We are very happy with what we have seen. But it’s also, I would say, a little bit enhanced by these very strong market conditions that we are seeing.
Jamie Cook: Thank you.
Operator: The next question is from Stanley Elliott with Stifel. Please go ahead.
Stanley Elliott: Hi. Good morning, everybody. Thank you all for taking the question. A quick question, with the portfolio change you guys have made in North America, you have got small ag softening, but the large ag looks pretty healthy. How does the North American margin profile hold up and how should we think about that longer term?
Eric Hansotia: Well, our -- there will be two factors and they are both moving in the same direction. We expect the large ag market to stay strong for some time yet. There is still some pent-up demand in large ag. So from an industry standpoint there’s more tailwinds there. Small ag, there’s probably a little bit of pull ahead during COVID and so, although, it’s cooling off and that one’s tied more to the economy. So we think that that’s the movement of the industry. And then the focus of AGCO within the company is really about growing our large ag participation in North America. We have already established 75 dealer outlets for Fendt. We are growing them steadily according to our plan of only turning on outlets that can meet the very rigorous total Fendt experience. We have brought in the Fendt tractors, combine, sprayers, planters. They are all performing exceptionally. Customers love them. So our bias and focus is really on growing North American large ag share and so with that comes two things. One is, should see margin expansion and a bit more stability in margins over time.
Damon Audia: I think, Stanley, the other thing I would add to that is, Precision Ag is doing great, up significantly year-over-year. And as Eric alluded to in his pre-scripted remarks, that is one of our higher growth and higher margin segments and we are seeing good growth and expect to see continued growth in the North American market, which should continue to help enhance those margins.
Stanley Elliott: Perfect. And then thinking about the Brazilian election, I mean, is there any potential impact from your seat that you all see down there. Just curious kind of high level what you are hearing on the ground from there?
Eric Hansotia: Well, in the short-term, this morning there are several, I will call it, protests and places that are being blocked for transportation in many parts of the country. It’s hard to predict how long that will last, so I will just make a guess. We hope that that won’t last very long. We are trying to manage around that. But, so that’s the short-term kind of tactical response. Longer terms, in terms of policy changes, the ag industry supported Bolsonaro in general in terms of the customer base. But they also -- the ag industry did very, very well under Lula and ag is such a big part of the economy that we don’t anticipate any major policy changes.
Stanley Elliott: Great, guys. Thanks and best of luck.
Operator: The next question is from…
Eric Hansotia: Thanks.
Operator: Excuse me, the next question is from John Joyner with BMO Capital Markets. Please go ahead.
John Joyner: Hey. Good morning and thank you for taking my question. So, maybe just getting back to Jamie’s question, maybe you don’t want to answer this explicitly. But just with regard to the margins in South America. I mean, I guess, A, probably, surprised -- has surprised everyone. But has the improvement there surprised you internally and then where do you kind of see margins settling in maybe longer term on a structural basis as in terms of percentage wise?
Eric Hansotia: Well, right now, it’s a very nice coupling of all our businesses in South America are performing strongly. Damon talked about the structural change we have made in our machinery business moving from a focus of small machines in the South to larger machines in the Midwest. We have deployed our dealer organization there. We have brought in new products to the market. And so our shift has really been the more large ag focus, a focus away from tractors only to a full line of equipment. Our planters, we have been sold out for three years in a row now. It’s performing outstanding -- in an outstanding way there. So that’s our machine business performing very strong and we are able to apply pricing strongly to that business. Industry is moving in a strong way. Our grain and protein business is performing lights out in South America. We are completely sold out on our grain and protein business as well, applying pretty strong pricing there, and then Precision Planting is also growing nicely with high margins. So all businesses are doing well, a bit of strong market help, but they are all just executing. So we see that industry being something like 20% above mid-cycle. And so, over time, it will, probably, drift back to be closer to mid-cycle and with that margins will come down. But we have told you for a number of years that we expect every business to be over 10% and we have no reason to believe South America can’t continue that, especially at mid-cycle.
John Joyner: Okay. Excellent. Thank you, Eric. And then just one last one, on the parts business, historically, I guess, the revenue there is running maybe like $1.3 billion or so of sales annually, up through 2019 and now I believe it’s probably running closer to $1.8 billion. And I guess that the industry fundamentals are better and you have been able to grow the business in South America, implemented a SAP system, improved fill rates, I mean, there’s a lot of things that you have done there, which is impressive. But are there any other factors that have boosted this business and do you see it kind of continue -- continuing to trend higher and maybe even higher as a percentage of overall sales?
Eric Hansotia: Yeah. This one is a really important one. You saw me talk about it in -- every time I get a chance to in terms of one of our three growth engines. So our first foundational effort was to get parts fill rate higher. That means when a customer wants it or a dealer wants it that we have it available. And so we have really improved the business to improve parts fill. We believe we have data to show that we have industry-leading parts fill now in North America and South America, sorry, North America and Europe, and we have improved significantly in South America with that target to being the same. That builds confidence in the overall channel that when they want a part, they should come to us for it. And so that was the first step. Now, the second step is to really add digital tools and leverage the fact that we have got this connected fleet out there, machines that we can monitor when they are coming upon a service interval and pre-populate out of the customer saying you have a service interval coming up, can we do that servicing for you or at least order you the parts. Services like that. They seem simple, but it allows us to capture much more share of wallet for the farmer. Over the last three years, our parts have grown at about 8% and in the three years prior to that, they grew more like a 4%. So we have a fundamental shift happening. And also, if you look back over the last 10 years, where the industry is up or down, part sales have kept growing. We have never had a down year in parts sales. So we believe we have turbocharged it, but we don’t expect it to go negative, no matter what the industry does.
John Joyner: Okay. Excellent. Great. Look forward to seeing you next week. Thanks a lot.
Eric Hansotia: Thank you.
Operator: The next question is from Nicole DeBlase with Deutsche Bank. Please go ahead.
Nicole DeBlase: Yeah. Thanks. Good morning, guys.
Damon Audia: Good morning, Nicole.
Eric Hansotia: Hi, Nicole.
Nicole DeBlase: Hi. Maybe just starting on the 4Q production outlook, I guess, could you just speak to the level of confidence in being able to continue to ramp-up and I think that ties into maybe what you guys are seeing from a supply chain perspective in real time?
Eric Hansotia: You bet. It’s one of our top management topics that we are focusing on. So one of the questions you are probably seeing as while that’s a big quarter you have in front of you, are you sure you can deliver it? And so when you peel that back, you say, what’s -- what are the root causes of the challenge? One of the root causes is the same as we have talked about before and that’s supply chain issues in getting the parts in. But for about half of our unfinished product, machines that are almost fully built that are waiting on a couple of parts, about half of that population we now have the parts for. It’s just about applying the labor to get those machines built. And so we have brought in a number of additional capacity areas to boost our ability to finish off those machines by the end of the year in a high quality way to make sure that they can get all the way through the channel and fully invoiced to the farmers, so that they can receive them for year-end tax purposes. So we believe that macro trend, the supply chain is healing and about half of our issue of our finished goods is really in our camp to solve and we brought in a lot of extra tools to do that. So our confidence…
Nicole DeBlase: That’s very helpful color.
Eric Hansotia: Our confidence isn’t 100%, but it’s strong.
Nicole DeBlase: Got it. Okay. Great. And then just to follow-up on Europe, obviously, a really hot topic right now among investors. It feels to me like your commentary is just maybe a tad more cautious than it has been on the region. So, I mean, what is the risk that Europe could be down in 2023, just because of all of the economic and geopolitical issues happening in the region?
Eric Hansotia: Well, there is uncertainty for our European region, so I will say that. It’s hard to give you really exact answers. But we still are quite bullish on Europe. The Europe, as an industry, does not move up and down in a very volatile way. They hover more around the midpoint through the ups and downs and that’s what we have seen. So we expect that to continue. The farmer economics are still very strong for the farmer. Their prices that they can lock in are super high. They can lock in all the way out to early 2024 right now and we are seeing many farmers do that. So all indications are our order bank is very strong in Europe. We have just launched the new Fendt product that I talked about, that’s got great reception. So product, industry, farmer ordering, order bank, all positive. We have got a lot of news articles about energy supplies and things like that and that’s a real topic. But we have put in place, I will call it, plan B options in all of our facilities to have an alternate source of energy, whether that be electric or liquefied natural gas or other things. So we are quite bullish about Europe staying strong again next year.
Nicole DeBlase: Thanks, Eric. I will pass it on.
Eric Hansotia: You bet.
Operator: The next question is from Mig Dobre with Baird. Please go ahead.
Mig Dobre: Yeah. Good morning. Thanks for the question. And I want to follow-up on this Europe discussion here, because in your assumptions, you have tweaked industry sales lower and I would like to know what’s behind that. And from your perspective, if there is resolution to the conflict in Ukraine, hopefully, sometime soon, do you think that that’s a positive or a negative for equipment demand in Europe and sentiment overall?
Eric Hansotia: Well, the tweaking we did on the European industry was really all supply related, it’s not about demand. It’s our -- the industry’s inability to supply all of the farmer demand that’s out there and AGCO is in the same situation in that regard. But there is no change in our view on the demand side of things for the European farmer. In fact, if anything, the profitability has probably gone up a bit for the European farmer since our last quarter. So the fundamentals are strong. Your second question is, how do we view the conflict easing, if that were to happen and what’s the impact. Net-net, I think, it would be positive for the European farmer in that -- right now, there’s a cloud of uncertainty, just like the questions you are asking of what’s going to happen? And so uncertainty has people to some degree hold back a little bit and we have a little element of conservatism. But underlying that is just fundamentally price and cost, and there is a price in the market today and a cost in the market, the -- because there’s not enough grain in the world. So I don’t think anything will change that until we get to a little -- if in the spring. South America has an outstanding harvest that could ease things, but we are really probably looking into next fall before the world will heal itself for having enough grain.
Mig Dobre: Understood. And then maybe a question on where you are going to be in capacity utilization in the fourth quarter and going into 2023, I mean, if let’s say, the supply chain starts to ease a little bit, can you continue to increase production hours next year? Do you have the capacity available or is there something else that you are going to have to adjust the business to address that [ph]?
Eric Hansotia: No. We have been investing steadily through this year to add more capacity in our bottleneck areas. We have -- I have talked to you about our planter factory has been sold out each of the last three years, that’s, I guess, a good problem to have. But we don’t like shorting any farmer that wants a product. So we continue to invest in all of the facility areas where there’s bottlenecks and so if the demand is there, we will take production up next year in the areas that require it.
Mig Dobre: Okay. Thank you.
Operator: The next question is from Seth Weber with Wells Fargo Securities. Please go ahead.
Seth Weber: Hey, guys. Good morning. Hey. Eric, I just wanted to go back to your recent comment when you answered a question just about kind of bringing on more resources to get more product out the door. So, I mean, should we assume that margin -- I am just trying to put to this 9.9% operating margin for the year. So should we assume that operating margins kind of tick down across the regions or is that more just a normalization in South America that gets us to that kind of 9.9% for the year? I am just trying to understand like where the costs are kind of moving around here for the fourth quarter? Thanks.
Eric Hansotia: No. I would not -- I would see that in reverse. That really what we are doing is reallocating resources across our factories. Any factory that’s got their situation in a good spot, we are pulling resources out of those factories and moving them to other facilities that need extra help getting these mostly built machines completed and so that’s what we meant -- that’s one of the sources of extra capacity, we are tapping into others as well. But the labor cost is very, very small compared to the incremental margins on these machines to get them finished up. It’s usually just a couple of parts that need to be finished. So it’s a few number of hours to get a big machine out to the marketplace. So we don’t have any concerns that this action will have an impact on cost.
Damon Audia: Yeah. And I think, Seth, to your question on margin, you -- generally speaking, when you back in to the fourth quarter margins should be relatively flat to Q3. You might see a slight geographic mix, as you looked at the European margins this quarter, they were a little bit low. As Eric talked about a lot of this semi-finished work in process, there’s a good amount in Europe so to the extent as we work through that. you will sort of see a, little bit of an improvement there, may be offset by a couple of other regions, but overall total company we would expect it to be relatively flat to Q3.
Seth Weber: Okay. That’s helpful guys. Thank you. And then just a quick follow-up on the Precision Planting, have you -- just given the delays with the supply chain, semiconductors, have you seen any cancellations in those orders on the Planting -- Precision Planting side of the business, it just…
Eric Hansotia: Not at all. No. Not at all. Our demand continues extremely strong. Full year for Precision Planting we expect to be up 35% to 40% and our Fuse we expect which is our internal brand for AGCO machines is up to be -- for the full year is up -- expected at to be 20% to 25%. So, overall, our Precision Ag business when you combine those two is up 30% to 35%. We are not seeing any cancellation of orders. We just launched a whole new automated soil sampling business in August. That’s getting positive reviews. We are going be launching more new products in January at our annual conference. So the innovation engine is running red hot and no slowdown there expected.
Seth Weber: Got it. I appreciate it, guys. Thank you.
Operator: The next question is from Tammy Zakaria with JPMorgan. Please go ahead.
Tammy Zakaria: Hi. Good morning. Thank you so much. So, most of my questions have been asked already. I have a couple of quick ones. Are you seeing any improvement in China quarter-to-date sequentially or should we expect that region sales to be challenged for the rest of the year?
Damon Audia: Hi, Tammy. Right now, excuse me, we would expect China to continue to be challenged as we go through the fourth quarter here with the sort of the lockdowns they have experienced through the first part of the year here.
Eric Hansotia: But China is a very small portion of our business -- what percent, at least…
Damon Audia: It’s -- out of our Asia-Pacific business, it’s probably 10%, 15%.
Eric Hansotia: Yeah. And so company-wide, China is a very small portion of our total company sales. So, although, it will be challenged, it’s not very meaningful to the total number.
Tammy Zakaria: Got it. That’s super helpful. And then have you seen any relief in inflationary pressures in your raw materials costs, maybe in the GSI segment, given used bronze, steel [ph]?
Eric Hansotia: We are seeing -- with steel prices coming down, a lot of our products, and as you say, in GSI, grain and protein sector, there -- our materials are indexed to those prices and so they are coming down. And so that should give us a little relief in that market with how high we have had to price the equipment and which I think has affected demand this year. So, hopefully, those prices normalize and that will help the overall grain and protein market.
Tammy Zakaria: Got it. Can I just squeeze in one quick one, I am sorry if I missed it, but did you comment on the level of pricing you are embedding for next year’s orders?
Damon Audia: So we did not comment on pricing, Tammy. I think what we do expect through the pricing actions that we put in place this year we said we expect in excess of 10% for the full year. There will be a decent amount of carryover pricing that will go into 2023, but as we look at the material cost inflation that we still expect to go into 2023 and we expect it to be up year-over-year. We would expect some incremental pricing in 2023 as well, but we haven’t given any specifics as of yet.
Tammy Zakaria: Got it. Thank you so much.
Operator: The next question is from Tim Thein with Citigroup. Please go ahead.
Tim Thein: Thanks. Good morning. Maybe just to circle back and I apologize if I missed this. But just your near-term margin expectations for EME and how we should be thinking about, and really more importantly, looking beyond the fourth quarter just as we think about the volatility both from an FX, and certainly, an energy cost situation, but also with the prospect of production hours increasing. So, just how do we kind of weigh those all together as to what that means for margins in the near-term?
Eric Hansotia: Yeah. We are very bullish about Europe. Our order board is up 20% in Europe from this time third quarter last year. Energy cost is less than 1% of our cost of goods sold. So and there is elevated energy costs, but it’s not a huge impact to the overall business. We have put in place alternative energy sources at every one of our factories, whether that’s wood pallets or electricity or other things to be able to continue to running. We have been working with our unions to make sure they are flexible enough in case we need to work different shifts or different days, that type of thing. The demand continues strong and that’s on the back of strong farmer fundamentals, pricing is strong and costs have pretty much stabilized for the European farmer. They can lock in those prices well into the future, early into 2024 and they continue to order like I talked about with our order bank. So -- and we have got the capacity to continue to grow our production for the European factories next year. So, overall, I think, I covered every corner of your question there, we are bullish about Europe. From an industry standpoint…
Tim Thein: Okay. Got it.
Eric Hansotia: … we think it will stay semi-flattish kind of -- we are not giving forecast, but we don’t see any big drop-off or anything like that coming in Europe. They usually have quite a stable market from year-to-year.
Tim Thein: Yeah. Yeah. Okay. Yeah. And then maybe just one on product mix and how we should think about that from the -- not Europe specific, but for AGCO as a whole, I mean, the company has obviously expanded quite a bit beyond tractors and I can imagine there’s probably a fairly sizable spread high-to-low across individual products. Should we think about that as a -- just given the visibility you have with backlogs extending as far as they are, should we think about that as a tailwind to margins in 2023? I know you are not giving guidance, but just based on what you have orders in hand, should that be a tailwind or not? Thanks.
Eric Hansotia: Yeah. I don’t know if I would give a big strong tailwind there. I think we are definitely moving into a full line of equipment, planters, sprayers, combines and tractors, along with our hay equipment and grain and protein. But just because we are adding in those other machinery forms, doesn’t mean that our margin mix would shift considerably. We have certain tractors we make good margin, on certain tractors are low and same thing with the rest of the products. So I don’t think it’s a fundamental change to our business. We are strengthening our large ag business, so that’s a positive, but I wouldn’t over bake it.
Damon Audia: Eric, I would say that, thinking longer term not really talking about 2023, but longer term, when we talk about those growth areas, those key growth areas of growing and expanding Fendt globally, growing our parts business, growing our Precision Ag business, those are all of our highest margin businesses. So if we can grow those faster than the rest of the business, which is our strategy that will give us a stronger mix and give us margin improvement in future.
Eric Hansotia: Well said.
Tim Thein: All right. Thanks for the time.
Operator: The next question is from Kristen Owen with Oppenheimer. Please go ahead.
Kristen Owen: Hi. Good morning. Thank you for taking the question. I wanted to ask specifically about Precision Planting, some of the strength that you have seen in the back half there. Eric, I think, previously you had talked about that business being up 30% for the year. It sounds like maybe now that’s higher 35% to 40%. I am wondering if you can speak to, how much you feel like there is unmet demand in that business, there’s any sort of pull through effect, because of the supply chain constraints on whole goods. Just a bit more color on what you are seeing specifically in that business.
Eric Hansotia: Yeah. Quarter one and two were constrained to some degree from semiconductor chips in that business. We have redesigned the product, to some degree and we have gotten extra -- different chips in and done a number of different things and we are catching that up now in quarter three and quarter four. Our order rates continue strong and so we are -- that’s why we have raised our expectation for the year. But we expect the backlog to continue, like, I said, we are going to launch another new set of products in January. So the unmet demand is still strong. We have a very low penetration rate. In most of our products, we are still single-digit penetration rates on these features. There’s a few that crop up into the -- maybe into the 20s. But we feel far from saturated in the product features and then you think about geography, we are growing in the Europe, we are just early days in growing into Europe and still have a lot of headroom in South America. So -- and then when you add to that, we have bought a harvesting business. We have bought Appareo. We have bought JCA. We have bought six companies last year to augment Precision Planting. So it’s a multiple factor of geography, new features coming out of Precision Planting organically, the inorganic growth of M&A. It’s a multiplier flywheel that’s spinning there.
Kristen Owen: Great. And then, if I could ask just a follow-up on some of the comments around South America. Can you just give us an update on where you are in terms of your local manufacturing content there?
Eric Hansotia: We feel -- do we have number -- do we have. Go ahead.
Damon Audia: Yeah. So, Kristen, for us, over the last four years or five years, we have localized a lot of our most modern tractor technology into Brazil. And as you can imagine, over the last couple of years, we have made a lot of progress with localization of component, just because of the difficult supply chain situation. So as we look forward into the -- I won’t say just 2023, but the coming years, we do have opportunity to get our local content percent closer to where it’s been historically as opposed to lower than it is right now. So that’s certainly is an opportunity as we think about localizing components, and at the end of the day, that should help our cost bases down there.
Kristen Owen: Thank you.
Operator: And our last question today is from Jerry Revich with Goldman Sachs. Please go ahead.
Jerry Revich: Yes. Hi. Good morning, everyone. I am wondering, Eric, if we just expand on Precision Ag conversation. Can you talk about how much runway you folks have on the Fuse suite growth over next year? I felt like you folks were maybe approaching a full adoption rollout across the portfolio this year. So I am wondering do we have opportunities to continue to grow the different features to drive continued growth in Fuse? And on Precision Planting, how much capacity growth do you folks have based on your latest supply look as we look out the next 12 months compared to the positive revisions you made to the production plan this year? Thanks.
Eric Hansotia: On Fuse, we have a lot of upside potential there. We have installed connectivity and guidance on most of our large ag equipment in Europe and North America. We still got a lot of growth potential in South America. We haven’t tackled yet any retrofit opportunity and additional features. So as there is more and more machine to machine communication and other capability brought to the market, I think, Fuse has still got a lot of upside both features and geography. For Precision Planting, we announced maybe two quarters ago or so that we are building a very large new facility in Illinois to enable the growth of that overall business. It’s 0.5 million square foot factory. It’s under -- it’s -- we have broken ground and it’s under production right now. So we will be live with that in 2023 and that’s really to enable to make sure that we can stay on top of all this demand that’s coming in for those products and the acquisitions that we made.
Jerry Revich: Okay. Super. And in terms of the production plan, this quarter you folks are planning to produce more than under normal seasonality as we think about production cadence into next year. It sounds like we are going to be off to a stronger than normal seasonal start to calendar 1Q. But I am wondering if you could just expand on the production plan given how abnormal 2022 was because of the disruptions.
Damon Audia: Yeah. I think as you heard us say in our scripted remarks, we do expect Q4 to be up, I will say, low-double-digits year-over-year. As we look at 2023, again, as Eric alluded to, we still see strong demand. So we would expect production hours to follow more of a traditional seasonal trend, likely be up as we have done some investments. I think the important thing to also remember is, even if production hours are flat, the productivity of where we go with supply chain starts to improve, the amount of rework of our equipment becomes less, which will allow us to get more units out per factory, even in a similar number of hours. So we still expect it to be up, but I think the quality of those hours as supply chain starts to improve should improve the output as well.
Jerry Revich: Okay. Thanks.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Eric Hansotia for any closing remarks.
Eric Hansotia: Thank you. I will close this morning by saying thank you very much for your participation and your continued support for AGCO. Despite additional currency headwinds and supply chain challenges, we had a very solid first nine months of 2022. With a lot of work still ahead of us in the balance of the year, we are solidly on track for strong sales growth, margin expansion and higher full year earnings per share. These results will deliver a record year for AGCO and equally as exciting it further positions us for more success as we enter 2023. I want to leave you with our growth slide I discussed earlier and reiterate our plans to grow our business. We are very convinced that the continuing development of farmer-focused solutions that solve critical farmer problems will greatly expand our addressable market and drive significant sales growth over the long-term. We are also engaging strongly on sustainability, helping our farmers make the transition to not only more productive farms, but more sustainable farms. We look forward to seeing many of you at our analyst meeting on December 16th. Thank you and have a great day.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.